Thomas S. Rooney Jr.: Good morning, everyone. Welcome to Energy Recovery’s Fourth Quarter 2012 Conference Call. My name is Tom Rooney, and I’m here today with our Chief Financial Officer, Alex Buehler. The primary purpose of today’s call is to provide you with information about our financial performance in the fourth quarter of 2012. However, some of our comments and responses to questions may contain forward-looking statements about market trends, future revenue, growth expectations, cost structure, gross profit margins, new products and business strategy. Such statements are predictions based on current expectations about future events and are subject to the Safe Harbor provisions of U.S. Private Securities Litigation Reform Act. Forward-looking statements are not guarantees of future performance and are subject to certain risks, uncertainties and other factors that could cause actual results to differ materially. A detailed discussion of these factors and uncertainties is contained in the reports of the company files with the U.S. Securities and Exchange Commission. The company assumes no obligation to update any forward-looking statements made during this call, except as required by law. By having said that, good morning everyone. Now that we have formally announced our fourth quarter and year end results, I’m proud to say that we met or surpassed virtually every goal that our team set out for ourselves at the beginning of the year. In doing so, we strengthened the company and positioned ourselves for a very bright future. Looking at the results, it’s clear to see that in almost every financial metric, we saw a significant improvement, quarter-over-quarter and year-over-year. After three straight years of steep revenue declines, it was great to see our annual revenues jump by 52% in 2012, including a 147% jump in the fourth quarter alone. This dramatic revenue turnaround is attributable to very significant market share gains combined with a surge in MPD projects during the year. One of our goals for 2012 was to significantly improve our market share, and today we are enjoying one of the highest market shares in the company’s history. It’s important to note that these gains in market share did not come at the expense of gross margin, and point of fact, we were able to significantly expand our gross margins from 28% in 2011 to 47% in 2012. We did this through a more competitive value proposition in the marketplace, through cost cutting and through operating leverage and efficiencies. Another one of our stated goals for 2012 was the significant reduction in operating expenses. It’s worth noting that we reduced our operating expenses by more than $4 million in a year when our revenues grew by 52%. This is all the more impressive, when you also consider that in 2012 we invested $4.8 million in research and development, the largest such investment in the company’s history. This large investment in R&D will serve us well as we turn our focus and attention the oil and gas industry. As pleased as I am to report significant financial improvement in 2012. The company’s most remarkable accomplishment this year came from the substantial progress made in developing products that will allow us to diversify into the oil and gas industry. In 2012, we designed and developed three new technologies for use in the oil and gas industry, while working with three high profile oil and gas clients. These new technologies were in various stages of field deployment and testing, and the results to date are promising. We are now transitioning more aggressively into the commercial deployment stage, and to that end, we have just hired our first dedicated oil and gas sales executive. The opportunities in oil and gas are very real. Just yesterday, we reached a verbal agreement for a product sale to a new oil and gas client. We’ve just now begun our outbound sales effort. In order to protect and enhance our first mover position in the oil and gas industry, we have filed and/or begun to file a significant number of patents covering our industrial fluid technologies and solutions. In order to facilitate Energy Recovery’s evolution into a highly diversified energy recovery provider for all industrial fluids, we recently launched a totally new brand identity for the company. Many of you have already seen this in the form of our new website. This metamorphosis has been far more than a cosmetic makeover for the company as this marks a wholesale cultural and technological shift for the company. This is a shift in vision that opens us up to a vast array of brand new industrial and municipal fluid markets, and will enable the company to grow for many years to come. Looking ahead to 2013, we see limited revenue growth coming from our global desalination market in 2013, with a significant percentage of that revenue coming in the last few months of 2013. Right now, we see a large number of significant MPD projects lining up for 2014, which we expect will drive our desalination business back in a very significant growth mode for 2014. For the first time ever, we’re planning to generate several million dollars of revenue in 2013 from the oil and gas sector. Assuming that we continue to make progress in our field tests, we anticipate that oil and gas revenues will represent as much as 20% of our overall revenues in 2014. Even with the significant desalination growth that is forecasted for 2014. In 2013, we fully expect to continue to make progress in trimming our operating expenses and expanding our gross margins, while continuing to invest heavily in research and development. We do not anticipate large CapEx expenditures in 2013. 2012 was a very successful year for us here at Energy Recovery, and we see 2013 as the final transition year for the company enabling us to return to full speed in 2014 with a combination of high revenue growth, positive cash flow and meaningful net income. With our improved cost structure, a dominant market position in the desalination industry and burgeoning success in the oil and gas industry, the long-range outlook for Energy Recovery is very bright, but we’re not stopping there. Just recently, we launched an initiative in collaboration with one of the world’s leading management consulting companies to map out the complete universe of industrial fluid flows, where our technologies can be deployed. This represents identifying and prioritizing many new industries for our solutions. By the end of 2013, I fully expect to be able to articulate a very thoughtful roadmap for growth that will guide Energy Recovery’s growth and diversification efforts for many years to come. We’ve worked very hard in 2012 to reposition this company for a sustainable return to profitability in the near term, and now the time has come to set our sight on more aggressive avenues for growth in 2013, and for many years to come. 2012 was a very successful year, and the future for Energy Recovery has never been brighter. Thank you. And this concludes my prepared remarks. We will now open up the call for your questions.
Operator: Thank you, sir. (Operator Instructions) The first question comes from Steve Shaw from Sidoti & Company. Please go ahead.
Steve Shaw – Sidoti & Company: Hey Tom, can you provide a little color on the obsolete inventory?
Thomas S. Rooney Jr.: Sure. It’s almost all coming from the pump and turbo business that we moved from Michigan to California, but Alex, you want to take that one?
Alexander J. Buehler: So that was about a $900,000 non-cash expense that we booked in the fourth quarter of 2012 having to do with, as Tom mentioned all pumps and turbo’s inventory at least almost all of which was related to pumps and turbos. Anything that’s been obsoleted by a new ramp of a product is included in that charge, and then anything that’s slow moving or non-moving is also included in that charge, so we had a number of items trigger the slow-moving threshold at the end of this year, hence the charge was especially large in the fourth quarter, but again I will reiterate that all of that’s non-cash.
Steve Shaw – Sidoti & Company: Right. And then Tom, can you just provide a little more color on the oil and gas industry. I know you stated that it’s going to make up approximately 20% of 2013 revenue. It seems like a quick ramp-up, and maybe how that’s developing and what kind of customers is it, is it more of a nat gas drilling sort of thing?
Thomas S. Rooney Jr.: Actually that will be 20% of our revenue in 2014.
Steve Shaw – Sidoti & Company: Okay, 2014. I’m sorry.
Thomas S. Rooney Jr.: Yeah. It’d be several million of revenue this year. The oil and gas has been effectively no revenue in the past. I don’t think we even had a dollar in 2012. So it’ll be several million in 2013, and roughly 20% of our revenue in 2014. And yes, it’s the natural gas or the gas processing segment of the oil and gas industry. And there isn’t a massive installed base of sour gas processing facilities around the world, and so the immediate addressable market is very, very large, substantial hundreds and hundreds of millions of dollars just for our products. And so for us it’s a technical acceptance and ramp-up.
Steve Shaw – Sidoti & Company: Okay. All right. Thanks guys.
Operator: The next question comes from Jeremy Hellman from Avenue T Fund. Please go ahead.
Jeremy Hellman – Avenue T Fund: Hi, good morning Tom and Alex.
Thomas S. Rooney Jr.: Great. Good morning.
Alexander J. Buehler: Good morning.
Jeremy Hellman – Avenue T Fund: Hey guys, just wondering, just picking up on that oil and gas spread some more, it would be helpful just to have you run over again, some of the – I guess value proposition that you’re providing to potential customers, and how your product and service is going to compare in the marketplace with anything else that may or may not be available? And then lastly, for every sale that you might make, how much non-hardware component might be involved in that, just vis-à-vis your desalination sales, which are primarily hardware not much more?
Thomas S. Rooney Jr.: So when you say non-hardware you mean ongoing service and after-market?
Jeremy Hellman – Avenue T Fund: Yeah service, support, consulting anything else that might take $1 of hardware and create $2 of revenue?
Thomas S. Rooney Jr.: Sure. So taking that half of your question first, the oil and gas industry is very accustomed to strong service after the sale for plant uptime and what not. So we fully expect that the recurring revenue after an initial CapEx sale into the oil and gas industry would be significantly different than what we’ve seen with the desalination industry. I’d be hard-pressed to try to map that out explicitly to you because it’s the dimension that we’ve yet to be into, but we fully expect that the recurring revenue in the oil and gas industry will be multiples of what it is in desalination industry. But coming back to what the original value proposition is, in essence, we’re creating an entirely new category. What I tell people is that, industry is very accustomed to the notion of reuse of heat through heat exchangers and heat recovery. And even the oil and gas industry is accustomed to reusing pressure that happens in gases through things that are called turbo expanders and so on. But the notion of another form of energy that can be recycled is pressurized fluid. But there really are no devices in the oil and gas industry, almost any industry that can capture unused pressurized fluid flows. And so inside the specifically the gas processing industry, there is a closed loop flow that is referred to the amine flow for sour processing where a cleaning fluid called an amine is pressurized, used to absorb hydrogen sulfide and carbon dioxide to sweetened gases. And that’s a continuous cycle that pressures up and pressures down, and we’ve been able to successfully deploy our products into that amine cycle, and giving our clients a three, four, five year payback period on that through energy savings. So that’s a value proposition there. We’re clearly a first mover, we’re dealing with some of the world’s largest names, and not one has ever dealt with anyone in this realm. So we are fairly confident that we’re the first mover, and we’re getting a lot of very, very eager attention from the industry in regards to this.
Jeremy Hellman – Avenue T Fund: Great, thanks for that elaboration. And just one more from me, just turning back to desalination, looking out to 2014 and beyond, are you seeing any relative interest up or down in terms of geography, in particular have seen a lot of rumblings about the water situation in Texas, and in the Corpus Christi area. Are you seeing any incremental increased interest in the U.S.?
Thomas S. Rooney Jr.: Sure. Well, there is a major project that has been battling to move forward in San Diego and specifically in Carlsbad, California. That project is moving at full steam ahead. It’s a substantial project that would have great impact on us. There are 19 fairly large desalination projects in one form and another in the planning phase or the deployment phase just on the West Coast of the United States. Texas to your point has a tremendous focus on desalination now. Throughout Texas, it tends to be more in what we call the brackish area, which is desalinating low salinity water out of water tables in Texas, but that’s definitely a burgeoning area. When we see significant, and I do mean very significant growth coming in 2014, very little of that is calibrated as coming out of United States. The United States as a market for us is something that we track obviously very closely, but we really don’t see much lift coming in the United States in any near-term forecast that we’re doing. If we’re fortunate, it’ll be a 2014, 2015, 2016, 2017 evolution of the U.S. market. The big lift that we’re seeing in desalination is enormous potential and projects coming out of China. It was about a year and a half ago that China officially mandated that the [power key plan] for resolving the water issues in China was officially decided to be desalination and so all those machinations have been underway and there is a – you will think I was exaggerating if I told you how many projects we’re tracking now in China. And so, there’s a wall of work coming there. There is also a tremendous amount of work coming out of our classic Middle East, North Africa market. Chile is exploding with opportunity. So, as the global economy continues to heal and as certain large industry-driven geographies come about, 2014 is looking to be an amazing year. The other economy by the way that a lot of people will talk about around desalination is India. But India, we don’t have high expectations coming out of India because the politics in India are just encumbered enough with irregularities that we think it’s going to move more slowly than what other people think.
Jeremy Hellman – Avenue T Fund: Okay. And just a follow-up on that, sorry I said one more and then I would hop-out, but just if you could elaborate for everyone on the sales cycle length in China relative to the U.S. I think one that’s fairly familiar with the market in the U.S. knows that it’s – Carlsbad being a great example, terribly long sales cycle. How much shorter is the sales cycle in China and maybe a way to detail that would be if they announced a project today, how far out would it be till you would actually ship a unit if you were to participate in that project?
Thomas S. Rooney Jr.: Sure, well I mean to your point, The Carlsbad Project has been one way or another trying to move forward for 10, 12, 13 years. I would say that in China its one-tenth of the time period. So when a project is announced in China, (a) there is a great deal of certainty and (b) there is a great deal of speed, so when a large project – and they don’t typically announce the per se in China, but when we’re aware of a project in China, it typically means that designers and construction companies that we work with have been engaged and roughly 12 months to 18 months later, we anticipate revenue. So the fact that many of our immediate clients are working on projects all throughout China gives us a very clear line of sight as to what’s coming in China.
Jeremy Hellman – Avenue T Fund: Great. Thanks Tom.
Thomas S. Rooney Jr.: Sure.
Operator: The next question comes from JinMing Liu from Ardour Capital. Please go ahead.
JinMing Liu – Ardour Capital: Good morning. Thanks for taking my question.
Thomas S. Rooney Jr.: Good morning.
JinMing Liu – Ardour Capital: Yeah, today your oil/gas projections for 2014, that 20% sales of total revenue, what needs to happen for you to achieve that kind of level of sales, meaning say what have to happen with your current field trials?
Thomas S. Rooney Jr.: Sure. So, the revenue that we see coming in 2013 is an assortment of field trials where we’re paid for the field trials and for the first installations. And we have first installations that are in field trials as we speak with very large oil and gas clients. Those current clients have expressed extreme interest in moving to projects two, three, four, and five and so on. So, when we refer to 2014 revenues being rather significant, it’s based on the promising results we’ve seen from the field trials combined with the extreme interest from those oil and gas clients in terms of follow-on projects. But we’re also anticipating that we will have other field trials underway this year. As I’d mentioned, we actually came to a verbal agreement with another significant oil company yesterday to move a project into field trials, in commercial field trials now this year. And that will likely span additional projects next year. And when refer to field trials, now and more and more now, we’re being fully paid for those field trials. Those field trials upon success beget many more opportunities. So the verbal agreement that we had with the client yesterday was the first of 20 gas field operations that they’d like to attack. So upon enjoying field success with one, with one large oil company, you get opportunities at multiple other installed installations. Add to that, adding other field installations and you get kind of a mushrooming effect. And in almost every, in every case we’ve not had to compete because there just is no competition. So there’s no multiple vendor procurement mode right now.
JinMing Liu – Ardour Capital: Okay. How many oil and gas companies have indicated interest to you so far?
Thomas S. Rooney Jr.: We probably have ongoing discussions with 8 to 10 right now. We actually have not moved forward with anymore than the first three until just recently because we did not want to expose ourselves to anymore technology risk than we had with the first three. We’ve seen enough in the trials now to change that and so as I’d mentioned, we hired our first full-time sales executive just in the last few days and we’re going to full commercial sales mode. We don’t see the technology risk being severe anymore so with the 8 to 10 that we’ve been working with, we’re now actively in discussions about moving forward with various projects.
JinMing Liu – Ardour Capital: Okay.
Thomas S. Rooney Jr.: We could easily be in conversations with 30. I mean what we are describing to these oil companies is so unique and the value proposition is distinct enough, we talked three to five-year payback period, it’s not hard to get excitement going.
JinMing Liu – Ardour Capital: Okay. Switch to your desalination growth in 2014, you mentioned significant growth. What kind of I’d call growth we are looking at here at 20%, 30%, 40% I mean comparing to 2013?
Thomas S. Rooney Jr.: Yeah. So obviously we just enjoyed 52% growth last year. So I’ll start it up by saying it’s not bad, but it’s quite a bit more than 20% and less than 50%.
JinMing Liu – Ardour Capital: Okay. Got that. Thanks.
Thomas S. Rooney Jr.: We’re very confident by the way and we’re actually able to see out further than even 2014, 2015. We’re very confident in the notion that our five-year CAGR from this point forward is in the 15% to 20% range; that seems very real to us. The concern or the issue for us is that we are seeing the market heat back up dramatically right now. And a lot of the projects that are in 2014 are actually tethering at the backend of 2013, the front end of 2014. So, substantial growth with most of it tethering on the backend of 2013 and solidly into 2014.
JinMing Liu – Ardour Capital: Thanks for the color.
Operator: The next question comes from David Rose from Wedbush Securities. Please go ahead.
Nick Setyan – Wedbush Securities: Hi this is Nick filling in for David. Without mega projects for the first half, what would the gross margin profile in the first half look like? And can the company expect to be breakeven in 2013?
Thomas S. Rooney Jr.: We haven’t given any earnings guidance for 2013. And I would tell you that as you look at the first and second quarter, you should take a look in almost every year in the past, the first quarter has been our most anemic quarter even in our greatest years and that same pattern will be true for us. So, we tend to be extremely heavy in the third and fourth quarter for revenue and extremely light in the first and second quarter. And that’s absolutely the case in 2013 and probably 2014 and so on.
Nick Setyan – Wedbush Securities: Okay. Thanks. And is the company including revenue for Carlsbad in 2013 in its assumptions?
Thomas S. Rooney Jr.: Well, we have to be careful about Carlsbad. We haven’t disclosed whether we’ve been awarded that project. But, even if we had been, I’d be a little reticent because the Carlsbad project has had such a long history that to be imprudent for us to speak as to how solid that project is in general.
Nick Setyan – Wedbush Securities: Okay. Thanks.
Operator: The next question comes from [John Segrich] (Inaudible). Please go ahead.
Unidentified Analyst: Hi, Tom. Thanks a lot for taking the question. I just want to follow up a little bit on JinMing’s question regarding kind of growth phase in oil and gas. It sounds like you guys have really turned the corner on desalination and some of those projects are going to come back, maybe they come a little earlier, but there is certainly a cycle ahead of you now. When you look at the oil and gas ramp, you’ve got your trial customers. So, it sounds like you’re expecting let’s say a low-to-mid single digit million type ramp in 2013 and then is it incorrect to think that that could jump to somewhere in the teens of millions, if you get the uptick that you are looking at from the oil and gas industry for 2014?
Thomas S. Rooney Jr.: Yeah. I mean what we are saying is several million in 2013 and roughly 20% of our revenue in 2014. We have to be careful because in terms of trying to give more explicit guidance than that, what I can tell you is that the field trials have looked very promising and the conversations with the oil companies we’ve got going on right now suggest extreme interest, but there are certain engineering and technical bureaucracies inside of these oil and gas companies and so as we work our way through that for full commercial acceptance, the timeline is the part that becomes least certain to us, but the level of interest is extreme. The technical success as we say is promising and the addressable market is very, very large and so as we combined those, we’re confident in the notion of doing several million of revenue this year for the first time ever, and by next year having it as a rather significant portion of our revenue. I’m less worried about technical risk today than I would have been 8, 9, 10 months ago. I am more bullish about client interest, and I’m more bullish about the addressable market. The part that I don’t control and maybe I don’t even have as much clarity on as I will say a year from now is the path that you work through technical and commercial acceptance with these large giants. We will for sure make it through that, but does it take a month or three months or six months or you know where – and in each oil giant case, it seems to have a little bit different pace and speed, but we seem to be getting a great deal of attention in moving things along nicely.
Unidentified Analyst: Right. So if you sort of step back, obviously there’s a lot of excitement and I guess the timing is a little bit, you know, you can’t control that. If you go out five years, is there any reason to think that the oil and gas revenue that you possibly could be booking would be smaller than what you’re booking today in desalination? Why wouldn’t it be 50% of your business with desal being at least as big as it is today?
Thomas S. Rooney Jr.: So I think if you look out five years, our oil and gas business will be larger than our desalination business.
Unidentified Analyst: Got you. And the desal business should grow from where it is today?
Thomas S. Rooney Jr.: Yeah, I am not at all – I said differently, I see it. I know, I am confident that our desal business is going to grow 15% to 20% cumulatively over the next five years, and I think the desal and the oil and gas sector five years out will be larger than the desal.
Unidentified Analyst: Got it. Perfect, thanks a lot. Good luck.
Thomas S. Rooney Jr.: Sure. Thanks.
Operator: (Operator Instruction) The next question comes from John Rosenberg from Loughlin Water Partners. Please go ahead.
John Rosenberg – Loughlin Water Partners: Hi, good morning. Thanks for taking my questions.
Thomas S. Rooney Jr.: Good morning.
John Rosenberg – Loughlin Water Partners: A couple of housekeeping questions. Tom, in your guidance you said 2013 would not reflect significant revenue growth. So, are you – obviously, I am sorry this probably was already covered before, but obviously you are not going to do 50% revenue growth, but can you give us more of a boundary for what 2013 looks like?
Thomas S. Rooney Jr.: It’s unimpressive growth, and the reason I have to kind of hedge a little bit is that we have a number of substantial projects where the deliveries are scheduled in November, December, January. So, we could have revenue tip out of 2013 and into 2014; that would still result in earnings power for the company, but the wave that’s coming in 2014 is early in the year and a little bit into 2013. And so, in the call I had mentioned as an example, on earlier call I had mentioned the Carlsbad project, the timing of that project actually fits in the same category, whether it’s us or one of our competitors, somebody is going to be delivering product there somewhere between December and February. And so it’s trying to give explicit revenue growth guidance for 2013 is treacherous because such a large revenue wave is coming in the end of Q4 and into Q1. So, the best I can tell is, you’re talking single-digit revenue growth in 2013, followed by double-digit revenue growth in 2014.
John Rosenberg – Loughlin Water Partners: Fair enough. What about margin – what about gross margin on the go-forward basis. You guys have explicitly stated that you’re trying to get the company back to its former margin profile through greater efforts on the (Inaudible) for 2013, 2014 what do you – again everything being a forecast, but what are you thinking about there?
Thomas S. Rooney Jr.: Yeah. So in 2013, you’re going to see distinct, gross margin improvement even with minor revenue growth in 2013 because of operating leverage as we move into 2014, you are going to see a distinct jump in gross margins and because we enjoy the work that is highly affected by operating leverage. And so is the revenues move up, we continue to enjoy that benefit. We also have operating efficiencies and improvements that have been made in the last year, year and a half that will create gross margin improvement and traction this year. So, what we’ve been saying continues to be the case and that is our gross margins are definitely tracking very solidly in the right direction. Obviously, our fourth quarter gross margins had the appearance of dropping from the second and third quarter and one has to look very carefully at the numbers to see exactly why that is, but our gross margin traction is very solid and it’s moving exactly where we want it to be. So, we see significant gross margin improvement in 2013 and then a jump in 2014.
John Rosenberg – Loughlin Water Partners, LP: Thanks, that’s useful. Also and lastly if I may – given that you’ve been very clear that this year is not going to be certainly, it will be very hard to duplicate the type of growth we saw last year, but it’s not going to be that exciting. And given that we all know how cyclical your primary end market is – what is your primary end market right now is, could you, are you going to be offering us any metrics either on future calls or some releases in terms of ways that investors can track your progress with the oil and gas initiative?
Thomas S. Rooney Jr.: Yeah when we have, when we get signed agreements in the oil and gas base, we will likely – as we do with the desalination industry, we’ll likely issue press releases. Not in every case because in some cases we can’t announce the names of the oil and gas companies we’re working with. But we’ll likely give tell tales to our success through press releases upon the signed contracts.
John Rosenberg – Loughlin Water Partners, LP: Okay, great. Well, wish you every success. Thank you very much.
Thomas S. Rooney Jr.: Thank you.
Operator: We have a follow-up question from JinMing Liu from Ardour Capital. Please go ahead.
JinMing Liu – Ardour Capital Investments, LLC: Hi, Tom. I just want to get some idea about your oil and gas margins once you get ramp up the sales in 2014 and beyond?
Thomas S. Rooney Jr.: Yeah, see, you want kind of an assessment of those markets?
JinMing Liu – Ardour Capital Investments, LLC: Yes, the margins for – the gross margins for oil and gas applications comparing to your desalination applications?
Thomas S. Rooney Jr.: Sure. So the oil and gas industry is a very large, complex industry with a significant number of fluids and gases. You can think about water inside the oil and gas industry, you can think about gas, you can think about crude oil and refined products and so on. So there is a myriad of fluids and therefore fluid opportunities for us. We’ve been very disciplined about attacking exactly one single fluid and that is inside of gas processing, the cleaning fluid referred to as amine fluids. And that is a substantial sector inside of oil and gas. To substantial sector and it’s a great first opportunity for us because it’s such an obvious application of our technologies, and there is a huge installed base; 600 to a 1000 gas processing plants already built around the world. And because of gas buy in every day, natural gas and frac gas and so on, new plants are being built. So, we’ve stayed very disciplined in only attacking one fluid flow inside of oil and gas. That one fluid flow alone, the fluid is referred to as amine, will propel us and it’s an addressable market that could be as much as $400 million just in our energy recovery devices. So, we could be satisfied with the terrific growth trajectory just on that over the next five years. Having said that, with each oil and gas company that we meet with, upon seeing what our devices can do, they seem to bring up other fluid flows if they want us to attack crude oil pipe movement and so on. And so, one of the exercises we have underway right now, so first of all we’re remaining disciplined about attacking the one fluid flow and creating a very sound and solid beachhead there. And it’s got enough growth for us. It’s a worthy endeavor in and out itself, but what we’re also doing is beginning to map out every other fluid opportunity inside the realm of oil and gas that will create opportunities that are actually multiples of the amine opportunity. The effort is complex enough that we reached out to one of the world’s best management consulting firms to work with us, who actually map out all of the addressable markets inside of oil and gas and then also work to map out every other fluid flow across every other chemical processing, food processing and on and on industries. It appears almost staggering, the number of opportunities that exist out there. So, what we’re doing is creating a very logical sequential roadmap as to how we’re going to deploy ourselves, so that we do it in a most opportunistic and intelligent way and create a 3, 5, 10 year roadmap to opportunity and growth creation. It’s becoming very apparent that in effect we are a category creator now, and I’d like to say that 10 years from now, we’ll all, industry will look back at this category and see it as obvious as heat recovery and heat exchangers are, but we’re forging ahead as rapidly as we can. So, I would tell you that, if we look at oil and gas we can look at it simply as the amine gas processing, we can look at it amine gas processing plus 10 other fluids inside of oil and gas. But then we can also look at 10 other industries that they’re well beyond oil and gas. 
JinMing Liu – Ardour Capital Investments, LLC: Okay. And then how about the, your product margin, margin structures, sending into the oil and gas industry comparing to the traditional desalination products?
Thomas S. Rooney Jr.: Yes. So, desalination has been a market for us where we singularly sell our products into Greenfield new...
JinMing Liu – Ardour Capital Investments, LLC: Right. But, you currently have about 50% to 60% gross margin for your desalination application, but once you get into the oil and gas industry, I know you have, your product is just tiny portion of the whole system, hope what kind of margin structure we should look at?
Thomas S. Rooney Jr.: Margin structure, sure. Yeah, so we see the same 50% to 60% gross margin going into the oil and gas space, partially because we have unique positioning in the market, but the product differentiation that we have is as extreme as it is in the desalination market. So at this stage, we think that the gross margins achievable in the desalination market are comparable to what we’re currently achieving and expecting to achieve in desalination. Having said that, the first mover advantage is so significant and so important to us that the several million of revenue that we expected in 2013, we’re truly not focused on gross margin. We’re focused on deploying as many devices on as many continents as we can with these many high-profile clients. There’re definitely gross margins, but if I had the choice of 60% gross margins or three more clients, I would take three more clients. So 2013 is going to be gross margin positive in the oil and gas industry, 2014 and beyond will be optimizing gross margins.
JinMing Liu – Ardour Capital Investments, LLC: Okay. Got that. And then lastly, just a housekeeping question. How much was the pump and turbo sales in the fourth quarter?
Alexander J. Buehler: So in the fourth quarter, pumps and turbo was almost $3 million.
JinMing Liu – Ardour Capital Investments, LLC: Okay. Got that.
Alexander J. Buehler: For the full year, they were about $8 million of the $42.6 million.
JinMing Liu – Ardour Capital Investments, LLC: Okay. Thanks a lot.
Thomas S. Rooney Jr.: You’re sure. Thank you.
Operator: (Operator Instructions) The next question comes from Laurence Alexander from Jefferies. Please go ahead.
Laurence Alexander – Jefferies Group Inc.: Good morning.
Thomas S. Rooney Jr.: Good morning.
Laurence Alexander – Jefferies Group Inc.: I guess two quick ones. On the various chemical fluid applications, are there any areas where because of either the chemical interaction with your ceramics or are there any sort of interactions, which serve make certain areas not be applicable for you, where you can just say you are just not going into those categories or those particular chemistries. And I guess the second question I have is as you look at the roadmap, you’ve seen various sort of companies to rollout kinds of water momentum or energy transfer products for the retail market or the restaurant market or small scale applications. Does it make sense for those smaller and niche markets to just license the technology to someone else as opposed to deferring it and then targeting it 5 or 10 years down the road?
Thomas S. Rooney Jr.: That’s a good point. Help me with your first question, what was that again.
Laurence Alexander – Jefferies Group Inc.: Well, just as you look at how your materials interact with the chemistries or the sourcing chemistries where you just say you can’t handle those fluids because you’ll change the chemical compounds, there will be some kind of incremental...
Thomas S. Rooney Jr.: Got it.
Laurence Alexander – Jefferies Group Inc.: Reaction?
Thomas S. Rooney Jr.: Technical applicability and then the second part of your question was licensing. So on the technical applicability front, you are absolutely right. There are fluids and pseudo fluids that may or may not be suitable for anyone of our devices. I’d say this in 2009, we bought a company called Pump Engineering...
Laurence Alexander – Jefferies Group Inc.: Yeah.
Thomas S. Rooney Jr.: And with that, we got pumps and turbochargers, and so the fact that we have high-tech pumps, turbochargers and we have ceramic-based pressure exchangers gives us an interesting toolkit to attack the universal fluid flows. And so, if all we were sitting with was a classic ceramic-based pressure exchanger, we would have to pick and choose very carefully the fluid flows that we would go after. The fact that we have the pumps and turbos and the pressure exchanger, and by the way we’ve added a new technology in the last year, which is a half of the turbo charge, which is to say a turbine combined with electrical generators. We refer to that as an IsoGen and that enables us to go into locations where the client actually doesn’t want the energy returned as a fluid and instead they sort of monetize, they reuse that energy in the form of electrical power generation. So, we have the different products and we have the pressure exchanger and now we can also generate electricity. Because we have that assortment, that toolkit if you will, the envelope in terms of what fluids we can attack is much, much broader than where we were prior to buying Pump Engineering and prior to investing in the IsoGen device. So, it is not only possible, but highly probable that we will come across a fluid that we either can’t or choose not to interact with. But I guess, I would say it’s going to be our ability to attack fluids is very broad and it’s likely only going to be a few locations where we can. As to the licensing and so on, small applications there is no question about it. We’re a small company, we’re 120 people and we’re on to a virtual category creation across a number of gigantic industries. And so, our roadmap that we are mapping out right now is likely going to give us an embarrassment in riches and then opportunities if you will. And we’re going to have to be disciplined to sequentially attack those in prioritized fashion. If we identify a very lucrative and significant fluid flow and large and lucrative addressable market that for one reason or other we can get to for five, six, seven, eight years. We will make strategic decisions as to how to better attack that and not wait six, seven, or eight years. And IP licensing and IP collaboration with another firm, it could be that we do an acquisition to jumpstart our ability to get there. So, the first step for us was prove that we could attack fluids other than sea water. We’ve done that. We then have to map out the universal fluid flows that are ahead of us. We are doing that. And when that map is on my desk that will then guide me in terms of whether we need unique or different strategies to attack those markets. And so, we will logically and sequentially go after all that. But on the technical applicability side, very few limitations and in terms of sequentially attacking these markets, we will come up with some pretty interesting strategies this year to go after them.
Laurence Alexander – Jefferies Group Inc.: And then maybe if I can just follow-up on both of those. On the technical side, if you just look at the core technologies and put the pumps, the pump acquisition on one side, broadly speaking is the issue where you do see areas where there might be difficulty going after the fluids, is the issue acidity, corrosion, is that viscosity, can you give a very rough sense for how you think about the space? And then on the licensing side, it sounds as if it’s probably about a two-year to three-year process, is that fair before we see anything like dramatic or significant in terms of a change in strategy on that side?
Thomas S. Rooney Jr.: I don’t think it’s a change in strategy; it’s more of an acceleration of strategy.
Laurence Alexander – Jefferies Group Inc.: Yeah.
Thomas S. Rooney Jr.: If what you’re saying is two to three years to see revenue coming from some unique fluid that we’re not currently talking about.
Laurence Alexander – Jefferies Group Inc.: Well. Yeah I’m thinking to get the roadmap, make the decisions, find the partners, get it launched, it takes a while.
Thomas S. Rooney: Well we’ll be making those decisions for this year is over.
Laurence Alexander – Jefferies Group Inc.: Okay.
Thomas S. Rooney: Well, we’re are only several months away from culminating the study that we’re doing and assuming that it tells me what I believe it’s going to tell me, we will be making some interesting decisions in terms of aggressive moves that we need to make. On the one hand, you know we’re on to – in effect a new industrial category. And that gives us unique window of opportunity to act in the absence of competition, but those advantages are short-lived. I mean our technological advancement or advantage will hold for a certain amount of time, but we will need to and want to move quickly. But having said that, we have roughly $40 million in cash and cash equivalents on 120 people. So we’re not naïve enough to try to attack 20 large industries at one time.
Laurence Alexander – Jefferies Group Inc.: Okay. Thanks.
Thomas S. Rooney Jr.: Sure. Well, I think that, I don’t know if we have another call.
Operator: There are no further questions. Please go ahead sir.